Operator: Good day, and welcome to the Golar LNG Limited Q2 2017 Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Brian Tienzo. Please go ahead, sir.
Brian Tienzo: Thank you, operator, and good afternoon and good morning to you all. Thank you for your participation in our call today. My name is Brian Tienzo, and I'm joined here today by our CEO, Oscar Spieler; and our Head of Investor Relations, Stuart Buchanan. We've had a busy quarter. So let's go through the highlights for the second quarter and also go through the material events -- subsequent material events. Turning over to Page 3, then. Our second quarter results and there has been an improvement over our first quarter with operating loss and EBITDA of 24 million and 6.6 million, respectively. While ship chartering remains challenging, we nevertheless, see gradual improvement in that space. Fortuna project achieved a milestone with execution of the Umbrella Agreements. This is, of course, a very important item to the project as it will govern the fiscal and legal framework of the project, and also reflects the continuing strong support from the EG government. As previously mentioned, the ongoing challenges regarding the charter in the Golar Tundra have resulted in Golar Partners exercising its option to put the FSRU back to Golar. The Golar and Golar LNG Partners entered into an option agreement for the sale and purchase of the employed capacity of FLNG Hilli Episeyo, essentially securing 50% of the firm cash flow of the Perenco contract. This option agreement was subsequently exercised by Golar Partners and a formal agreement is then signed. OneLNG, our JV with Schlumberger, signed an MOU with the EG government to find and develop a solution for stranded gas for Blocks O and I off Malabo. Furthermore, a joint development agreement between Golar and Delfin was entered into during the quarter for the purposes of developing liquefaction project solution off the Gulf Coast of Mexico. While the impending departure of Hilli Episeyo from Singapore to Cameroon is soon, bunkers for the sailing have been ordered and is due, to be delivered to the vessel by mid-September. Finally and most recently, the sponsors of the Fortuna project and the government of EG have nominated Gunvor as the preferred LNG buyer for offtake from the Fortuna projects. Now let's turn to Page 4 for the financial highlights. Net operating revenue improved from previous quarters level of 8.2 million to now 16.6 million this quarter. While its rates remain pretty much the same level quarter-to-quarter, revenue has been helped by a much improved utilization and the absence of negative noncash accounting adjustments relating to the Grand as seen in the previous quarter. We continue to see the quarter perform very well in this challenging but improving charter markets. The chartering performance has resulted to an increase in operating revenue which, coupled with maintaining both operating and administration costs, means that EBITDA has improved from last quarter's loss of 16.2 million to a loss of 6.6 million this quarter. However, our net income were negatively impacted by noncash adjustments within net financial items. While interest income and interest expense this quarter were in line with the previous quarter, other financial items weighed heavily against our results. This included negative mark-to-market adjustment of 18.2 million in respect of our total return swap, resulting from our stock price decrease from end of Q1 to the end of Q2. Furthermore, we saw a decrease in the medium- and long-term interest rates, which led to a mark-to-market loss on our interest rate swaps of approximate 2.6 million. As for previous quarters, the Company will declare a dividend of $0.05 per share for the second quarter. Going over now to Page 5 to look at our balance sheet, the Company continues to maintain a strong balance sheet relative to its position this time last year. With Hilli nearing completion and fully funded, Fortuna project equity essentially completed, the mechanics of FLNG dropdown already established, the Company is well placed to maintain its overall operating position. Hilli's acceptance will further release liquidity through a final drawdown in its debt facility and release of approximately $87 million from Hilli LLC, which will become available 1 year from operation. Just a point of clarification regarding our balance sheet. The current portion of long-term debt of approximately 920 million, includes 514 million relating to our lease finance arrangements, which are within the list of owned companies, which, unfortunately, we are required to consolidate. Furthermore, of that debt balance 375 relates to the Hilli debt, which will be refinanced by the lease facility already in place and will become effective upon acceptance. Stripping all of that, our pro forma current debt exposure is approximately 60 million, which is a much healthier position to be in. On that note, I now hand over the presentation to our CEO, Oscar, to go through our business development and Hilli update.
Oscar Spieler: Thank you, Brian, and good afternoon and good morning to everybody. Let's start from shipping updates. The LNG market is slowly improving as more and more production is coming onstream, and we have seen a steady improvement of the market during Q2 and into Q3. The rates are, today, around $35,000 to $40,000 per day and more importantly, the charter has started to accept to pay balance bonus between 70% and 100%. The graphs on the slide shows the correlation between the LNG charter rate and the number of prompt vessels in the spot market. And as you can see, these are highly correlated. On the left-hand side, you can also see the number of available vessels in the spot market has been reduced over the last years resulting in a tighter market. With the increased production on the limited new-building coming out over the next few years, we believe that the market will tighten further going forward. Going over to the next slide. The Sergipe project is on track and we do not see any major show stoppers there. The financial close is planned for end 2017. On the Nanook, will be modified at Samsung and delivered from Samsung in Q3 2018 ready to be at the depot for the commissioning of Sergipe project in Q1 2019. As we have said earlier, the FSRU market is changing with more focus on smaller and the pressure on rates. On the other hand, more LNG is coming into the market and we see a growing pipeline of LNG-to-power projects around the world. Going over to the next slide. I was in Singapore last week and the project is under control. Pre-commissioning is well underway and we will complete before sailing. The vessel will leave the yard in middle of September and depart Singapore end September/early October, all going well. As we have said before, we want to test up all the systems we can test -- is tested prior to leaving Singapore in order to reduce number of issues in Cameroon. The vessel will sail under its own power, we don't escort her, and it will take around 32 to 42 days depending on weather. The mooring system has been successfully installed and are ready to receive the vessel. Perenco is on track from their scope for the project. We believe that based on how we see it, we should be able to tell the notice of readiness in the middle of November. We will then be 6 weeks delayed compared to the contract date with Perenco. According to the contract with Perenco, we have around 6.5 months from 1st of October to complete the commissioning and get the vessel accepted. And before that, there are no liquidated damages for Golar. We believe that we are able to complete the decommissioning even with the delays we have today in part. During the project, there has been a few variation -- have been few variation orders from Keppel and Black & Veatch, and the project is materially under the budget. Next slide. The Fortuna project is progressing well on commercial and technical side, and most of the agreements are ready to be executed. The Umbrella Agreement, which defines all the legal and fiscal framework between the project participants and the Republic of Equatorial Guinea, was signed at the beginning of May. Gunvor has been selected as the offtaker for up to 2.2 million tonnes on our Brent-linked FOB basis. The LNG offtake structure also permits the Fortuna project participants to market up to 1.1 million tonne per year to a higher priced market, gas market, and to share in any resultant profits. Financing has taken longer and been more challenging than expected and remains critical for FID, which is now expected before year-end. Going over to the next slide. We have signed a joint development agreement to develop the Delfin LNG project offshore of Cameron Parish, Louisiana in U.S. A brownfield deepwater port project that requires a minimal additional infrastructure investment to support up to 4 FLNG vessels, collectively producing up to 13 million tonnes per year of LNG. We are in the process of developing our next-generation of LNG vessel, the so-called MARK II concept, which is expected to have a capacity in excess of 3 million tonnes. MARK II can operate in harsh environments than MARK I, and our expectation is that the cost per tonne of LNG produced by the MARK II solution will be lower than MARK I and will be the lowest cost of LNG -- production of LNG in North America. We have signed a binding Memorandum of Understanding with the Minister of Mines and Hydrocarbons of Equatorial Guinea to explore the liquefaction and commercialization of the natural gas in Blocks O and I. In today's oil and gas price environment, most LNG products are not viable. However, with Golar's execution model, we are able to take FID at current LNG prices. Golar will continue our effort to reduce the unit cost per produced tonne LNG by scrutinizing costs and improving efficiency of the liquefaction process. Going to the last slide to sum up. All going well, Hilli will leave Singapore end September, beginning of October, materially under budget, with all this equipment, which we could test -- tested in Singapore ready to tender notice of readiness middle of November. Getting Hilli into operation and into production will be a trigger for new projects going forward. Good progress with the government and offtake from Fortuna project is not yet matched by progress on financial facility. FID has now been delayed until second half of 2017. The shipping market looks good based on a supply and demand for LNG clients going forward. The Sergipe project is proceeding to plan. We are seeing interesting opportunities in the pipeline on the regas side, both for Golar Power and for Golar Partners. We see that the level of confidence on Golar's execution model attractive in order to develop stranded gas reserves, and OneLNG are working on several projects in West Africa. In addition, there are several opportunities in North America. Thank you very much for listening in, and let's go into Q&A.
Operator: Thank you, sir. [Operation Instructions] We'll now take our first question today, which comes from Jon Chappell of Evercore. Please go ahead. Your line is open.
Jon Chappell: Brian, both of my questions are going to be around financing. The first one, obviously, related to Fortuna. Can you just explain to the extent possible, kind of what the holdup is? Is this just kind of dotting the I's and crossing the T's because the syndicate of Chinese banks becomes more difficult than maybe your traditional European banks? Or is something changed? The offtake agreement helped? Hurt? Kind of what's just the -- I understand that there's price sensitivities around this, but maybe what's changed from 3 months ago that's pushed this back a little bit into -- the word challenging be a concern or is that just kind of standard course?
Brian Tienzo: So I mean, I think you'll remember in our first quarter results last time, I think we already highlighted that this is a more complicated strategy than we've previously done with Chinese banks. There's more stakeholders involved. A consortium of banks are involved. So it's not just one bank making decisions, it's a conglomerate of banks having to make decisions. We've also -- now having said that, we already said that the terms of the financing is already agreed, but there are structural stuff that we need to complete in order to be able to get to the finish line. So I think as against that as well and if you look at our -- what we said in our press release it, clearly, the project is very superior in terms of economics. And I think ourselves and the banks see that. They're very attracted to it. But as I mentioned, because of the complexity in terms of the structuring and the number of stakeholders involved, it is taking longer than I -- and I think they also expected. So that's really the message that we're trying to put together. It's -- the project in itself makes sense and therefore, the financing will fall into place.
Jon Chappell: Okay. And then on the positive note of financing, I noticed in Sergipe project you talked about the returns there being more attractive because of more attractive financing. Once again, to the extent that you can talk about that, how's the financing come together for that? How has it become more attractive than it was maybe 3 months ago and how does that change the return profile?
Brian Tienzo: Sure. So previously, we were looking at a very strictly defined project finance. Sort of mid this year, we and Golar Power started working on a slightly more structured financing. And what this means is making good use of GE's involvement and the Swiss ECA, and having the ability of one bank to be able to underwrite the financing which gives them optionality and allows them to make economic gains from being able to underwrite those, but at the same time, passing on some of those benefits in terms of pricing and pricing into the financing. So as a result of that, I mean I can't exactly say immediate improvement simply because of the FX movement, but as a result of that, it certainly has made a good improvement in the equity return of the project simply due to the financing restructuring.
Operator: Now to our next question today, which comes from Michael Webber of Wells Fargo. Please go ahead. Your line is open.
Michael Webber: Brian, I wanted to -- just to circle back on offtake for EG. It's important data point, it's the last -- the most recent long-term offtake agreement signed in the broader market and it's probably -- since probably the last time you guys signed one. So I'm just curious, I noted there are wrinkles between this relative to what Gazprom is paying in Cameroon. But if we just look at it on a kind of pro forma basis, can you talk to the return associated with this Gunvor offtake relative to what you saw in Cameroon? And then just add kind of any of the dynamics in play there in terms of the differences between the S curves, et cetera? Just anymore color on that would be really helpful especially considering how important that data point is.
Brian Tienzo: Certainly. I mean, Mike, I mean as you can appreciate, we're obviously governed by confidentiality agreements, but I think it's suffice to say that this deal was attractive to the sponsors and to the government. I think from an economic perspective, it makes a lot of sense as well. I think we've already mentioned that it gives us the optionality to actually make better the economics in the deal, should the need arise. So -- I mean, unfortunately, that's all I can say for the time being except -- but I think you're right, I mean it's certainly a big milestone and it adds towards the ability to taking FID of the project but, yes, we're governed by confidentiality agreement to say more than that.
Michael Webber: Right. And without getting a specific pricing number, right, I mean you are governed by confidentiality on the Gazprom offtake as well, right, by this comp -- this number against another number that we don't really know and just think about it on kind of a directional basis. Would you say the return you're looking at here is on a fixed basis on par with what you saw in Cameroon, firmer or softer? Just some sense of this project over the last one done without getting on the nitty gritty on pricing.
Oscar Spieler: Of course, in Cameroon, we don't have a -- there's a [few] Tolling Agreement. And this is, of course, a complete liquefaction project taking into account upstream and midstream, and so forth. So I think if you want to have any guidance, I think you need to look at LNG prices around the world. And a few years ago, it was 12% of Brent. Today, it's maybe down to between 9% and 10%. So that's more or less what we can say at present. But as we have said, when it comes to the agreement, is that there are half of the volume is firm and then we have an option to sell the rest of them, the volumes and any excess volumes into the market, better price market. I think that's the most important thing.
Michael Webber: Okay. Now that's helpful. And then just my second question on, I guess, on new projects. You mentioned Delfin which came out, I believe during the quarter, early, and Kosmos was out most recently kind of talking about how they're tendering for their FPSO and then listed you guys singularly in terms of vessel and potential FLNG providers. And then you've also mentioned, potentially another asset going into the EG. I'm just curious, how you -- or how we should prioritize those projects if we think about kind of what's next after Equatorial Guinea? I know there are going to be different time frames involved? But kind of help us rank order our focus on those projects.
Oscar Spieler: I think West Africa and North America can be more or less in the same time frame. We are talking about early 2021, '22, so that's what I would say. I mean it's very early stages in both projects, all the projects in West Africa we're talking about and also in North America. So I think the probability of those 2 locations is more or less the same, and both the location can involve multiple vessels.
Michael Webber: Right.
Brian Tienzo: Yes. I think we're making good progress on those, Mike, but I think it's too early to be too definitive on them just yet.
Operator: We'll now get our next question today, which comes from Fotis Giannakoulis calling from Morgan Stanley. Please go ahead. Your line is open.
Fotis Giannakoulis: Oscar, I want to ask you about a little bit more insight about the Hilli conversion. You mentioned that it's considerably be low cost. What are the components that have driven the project below cost? And if you can give us some insight about the pre-commissioning in Singapore and what are the potential risks when the vessel will reach Cameroon during the actual commissioning period?
Oscar Spieler: Okay. That was 3 questions, but that's okay. Costs, when we did the field studies on Hilli, we made up budgets based on our totals. And of course, this is the first time we did an FLNG, and we put up quite hefty contingencies, which have not been used. So that's the main reason for the costs, the lower costs. Yes, it's actually pretty spot on when it comes to our estimation on costs. And then -- so that was the reason behind that we are not, here, under budget. So we have hardly used -- we have used some of the contingency, but not a lot. When it comes to the pre-commissioning in Singapore, we are at the yard and we are doing most of the -- or the testing of the pipes are more or less finished. We are into -- finished the leak testing more or less, then into testing the -- that the logic on the control and automation system are working. We are testing the power management systems. We have tested all the big power producers, the gas engines and the steam generators, which are also a very, very important milestone, and they worked according to plan. But of course, this engine have to play together, so we are now into [assessing] period where we test that these are playing together, that they are synchronized, that they can share load and that they shut down when there's a shutdown. The causal effect is quite a huge system and we need to make sure that these are working according to its purpose. So that is what is going on now. When we are finished those at the yard, we will take the vessel out of anchorage and test -- we will do the testing of the lifeboats. We will test all the major seawater pumps, the fire systems, et cetera. The reason why they're not doing that at the yard is because the water is too polluted and it will just pollute the whole system and create problems for us. Of course, all this testing is going growing on. So far, we are doing well. It's always a risk that something can happen, but so far we have done well. And the major equipment has been operating according to what the plan -- what we expected. When it comes to the commissioning hiccup in Cameroon, I think the hiccups would be pretty straightforward. I don't see any major risk there. Of course, we know that there will be troubleshooting in Cameroon, but we know also that we have the right people. We have done a lot of testing in Singapore. And the testing that we're doing in Singapore, we will gain quite a lot of that than when we actually do the commissioning in Cameroon. So we are quite comfortable with the schedule that we will be able to meet the deadline in the contract, which means that we should be able to get the vessel accepted before -- around Q1 -- end of Q1 2018. Okay?
Fotis Giannakoulis: Oscar, can you please clarify when the option of Perenco expires for the expansion of the contract to '23 and '24? And when do you expect this to happen?
Oscar Spieler: I think what we have said before is that there are positive discussions there with the government and with Perenco. And we believe that this is a win-win-win situation. I think we will -- we have started the discussion, but I think everybody wants to see the vessel work before we progress it.
Operator: We will now move on to our next question today, which comes from Herman Hildan of Clarksons. Please go ahead. Your line is open.
Herman Hildan: I just have a short question. There's been some, call it, local media in West Africa which have said that Gunvor, the offtaker for the Fortuna project, has helped the government to fund up the 30% ownership in the project. The way I understand this is that they're actually not buying into the joint operating company, but rather the FLNG itself. So I'm just wondering if you can give some clarity on that process as well?
Brian Tienzo: I think the clarity that we can give you there, Herman, is that -- well, I mean, when it comes to rumors, we will leave that out. But just a clarity, and this is something that we announced previously, of course, is when we signed the Umbrella Agreement, the government -- there are 2 parts of the government have the ability to come into the project: one into the upstream and one into the midstream. So GEPetrol already own 20% of the upstream and Sonagas has the option to be able to come in up to 30% of the midstream. Now the economics or the mechanics of how they come in through there, obviously, is not public and to some extent, that's really how -- up to them how they do it, but their ability to come in is within the Umbrella Agreement that was signed in May or April.
Operator: Our next question today comes from Gregory Lewis of Crédit Suisse. Please go ahead. Your line is open.
Joe Nelson: It's Joe Nelson, on for Greg today. Just first one for me and maybe getting back to the some of the earlier questions on Fortuna. I mean it seems like some -- I guess to what extent does -- is there any relationship between the Hilli's commissioning and delivery timing? Is that playing into Fortuna at all? Or maybe lenders wanting to see the vessel operating, either in Singapore or Cameroon, before really completing the financing transactions? Is there any relationship there?
Brian Tienzo: No. No, there's no relationship. Well, as far as I'm aware anyway, but there is no relationship. I mean in terms of the complications or the delay in this, as I mentioned earlier, it's more on the structuring side and the complexity of the projects. I think, in fact, they are encouraged by the fact that the Hilli is soon to come out. The people who we're talking to are following that closely. But the security position on the Fortuna is such that it sort of pretty much mirrors what's in the Hilli plus more. And we can be confident and say, it's not related simply because the Fortuna financing, actually, we don't need to draw down on that until much later in 2018, upon which the Hilli will be operational and improve in itself and so on. So yes, there is no relation in there.
Joe Nelson: Great. And just one kind of follow-up on the Gunvor transaction. I think we got some news last week that Equatorial Guinea and Ghana maybe signed some LNG supply agreement. Are there any restrictions on where you guys can market that 1.1 million excess or I guess allowable flexible LNG in the Fortuna agreement?
Oscar Spieler: No. No, there are no restriction in that relationship. We are actually -- we are in, compatible. All parties we've already mentioned, when it comes to Gunvor and Ghana and Equatorial Guinea, so we are looking into that opportunity.
Operator: Now to our next question from Ben Nolan of Stifel. Please go ahead. Your line is open.
Ben Nolan: I -- my first question has to do with the shipping asset specifically. There had been a little noise out there that you guys had potentially been tendering maybe some of your vessels for time charter contracts, but it doesn't look like anything has really been signed there. How are you thinking through sort of the market and what is the, I suppose, sort of the expectation of what roughly -- how much upside you would need in order to lock in your vessels as opposed to keeping them in the spot market?
Oscar Spieler: As you know, we have 10 vessels, so 8 vessels and 2 vessels -- modern vessels with Golar Power. And when we look at that portfolio, we would like to secure some of it out on the time charter market. But at the rate which we are seeing today, it's not really attractive. We have participated in a few bids. We have lost out because we were too high. The rates, what it will take? That depends on many things. It's the risks and so forth and the length of the contract, et cetera, et cetera. When it comes to the shipping market, as such, we have seen that a lot of charter there are trying to secure cheap tonnage. They see the same vessels, that this market will tighten. There are -- actually, this year, there are 55 vessels to be delivered from the new building yards, but actually the additional supply is more than the 55 vessels. So there is -- next year, it's even worse. We will see that the production is going off quite a lot and there are very few vessels to be delivered. So we believe that this market will tighten. What it will take for us to secure a vessel? That's something we consider day by day, actually.
Ben Nolan: Okay. And then switching gears a little bit. On Golar Power and talking through certainly some of the projects that you're looking at. Well, just maybe hoping that you could put maybe a little context around how -- the time frame at which you would expect us to develop or -- I mean, is this something that you would say we are imminently in discussions for near-term things or just sort of -- or in the earlier stages of conversations that would take considerably more time to develop?
Oscar Spieler: To develop our power project is not done overnight, neither is our FSRU project, as you know. So these projects, it takes time to develop them. We are in discussion in Brazil. We are in discussion in India and other places, African continent and so forth. So there are a lot of discussions going on. But I will say that it's early stages, so most of these projects when it comes to the power project. On the FSRU side, I think we are more developed on quite a few projects. But as I've said in my presentation, what we see is that the focus now these days is actually on costs and not to have too much excess capacity. They are more focused on costs. So actually some of the vessel, which are now being redelivered to the MLP are quite attractive in the market. So I don't know if that answered your question.
Operator: [Operation Instructions] We'll now take our next question today from Chris Wetherbee of Citigroup. Please go ahead. Your line is open.
Chris Veseri: I wanted to come back to the Hilli for a minute and just talk a little bit about sort of the timing of the commissioning when you get to Cameroon. So assuming sort of we're on schedule for first half of November and we have until mid-April to get the commissioning done, I mean, can you give us a sense of how much buffer you think you have there? How much extra time do you have baked into that process in order to get all the commissioning done? I just want to get a little bit more specific on the timetable.
Oscar Spieler: Well, I think in the commentary, on the tender notice of readiness in the middle of November, it was -- we have to do this very slowly. We don't want to take any risk. We want to test system by system, so we will start to test the inlet systems, then we will start to test the CO2 systems, the multi -- the amine system. And then we will test the drying, the emulsive system and take it through and start very, very slowly. So we are -- we can't really rush this. So the first month we will produce very, very little LNG. Hopefully, we will start to produce some in the second month. And I think when we look at our plans, what we have today is that it will take 3 to 4 months from the actual tender notice of readiness until we are ready, and then we get the acceptance, all going well. So that's the time frame which we are looking at. But again, I think they have done quite a lot of testing on aerodynamic simulator, which helps a lot in reducing the risk, quite a lot we believe. In addition to the extended testing we have done in Singapore and the training the people are undergoing there, I think we are extremely well positioned for the commissioning as such. If you compare Hilli compared to the FSRU, when they're going out of the yard, Hilli is much, much more complete than any of the FSRU have been and -- but, of course, it's also more complex. But we believe that we have 1 to 2 months leeway in that respect.
Chris Veseri: Okay. Okay. That's helpful. And then just technically when you're thinking about sort of commission hire and how that might ramp in the pre -- in the period during commission before April '18. How should we be thinking about sort of the ramp-up of that commission hire?
Oscar Spieler: I think what we should consider is that the first month actually are hire from the -- and the next 3 months, we have expected around $11 million per month in hire. What is important for you guys to understand is, of course, that there are no LDs before actually and -- before the beginning -- middle of April next year. The LD is for -- is approximately $100 per day after that. So there are relatively limited LDs also for the next 180 days.
Operator: And our next question today comes from Espen Landmark calling from Fearnley.
Espen Landmark: Just one question on potential FSU projects. I guess there has been a few projects lately where it appears that kind of the sponsor has gone directly to the yard and in effect is surpassing the FSU providers. I guess the analogy would be the FSO market, right, where essentially a significant portion is, in effect, owned by the E&Ps. Are you afraid that the FSU market can kind of go in that direction?
Oscar Spieler: I think we were one of the pioneers in the FSRU market and it was quite a novel technology at that time. What we've seen, over time, is that the uptime of these vessels are pretty high. They are close to 99% to 100%. In many ways, I think people start to understand that actually to operate an FSRU is not that complicated. And I'm afraid that that will put pressure on the rates and potentially also drive our customers into building their own assets in the long run as we have seen, as you said correctly in the FSO market.
Espen Landmark: And I guess as a follow-up, I mean we haven't seen any, call it, renewal rates on the FSRUs yet. But what's kind of the minimum that you need on the, say, the Celsius to get decent economics?
Brian Tienzo: Well, I mean, so -- obviously, there's more competition coming now that's putting pressure on rates. I guess the Celsius, the Celsius economics is really going to be really dependent on what kind of conversion it will have to go through. There's varying, as we've seen previously, with the conversion works that we've done, it has varying ways of doing that. And so where that is, the amount of re-gas required, the operating costs where it will be cited, it -- I mean that all goes towards what kind of rates we would want to be able to be tender her competitively.
Operator: [Operation Instructions] There appear to be no further questions over the telephone. Therefore, I would like to turn the conference back to the speakers for any additional or closing remarks they may have.
Oscar Spieler: Okay. Thank you very much. Thank you for listening in. Thank you for your good questions. We look forward to keep you updated on Hilli and Fortuna and all the other projects. And hopefully, in next presentation, we will have good news on Hilli.
Brian Tienzo: Thank you, operator.
Operator: Thank you. That will conclude today's conference call. Thank you for your participation. Ladies and gentlemen, you may now disconnect.